Operator: Greetings. Welcome to the Diversified Energy 2023 Interim Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would like to hand the call over to Douglas Kris, Vice President of Investor Relations. Thank you. You may begin.
Douglas Kris: Thank you, Darryl, and good afternoon to our stakeholders in the U.K., and welcome to the Diversified Energy 2023 Interim Results Conference Call. Today, we'll discuss our recent financial and operational highlights and our focus on delivering reliable results, executing on strategic objectives and creating value through stewardship. We will begin our remarks from our President and CEO, Rusty Hutson. Also joining us today are Brad Gray, our Executive Vice President and Chief Operations Officer; and Wren Smith, our Senior Manager of Investor Relations. Before we get started, I will remind everyone that the remarks we make today reflect the operational outlook as of today's date, September 1, 2023. We have published our interim report in our earnings presentation, which we'll review today on the Investor Relations section of our website at div.energy. Our remarks today also include certain non-GAAP financial measures. You can find reconciliations of these in our earnings release and our corporate presentation, which are both available online. I'll now turn the call over to Rusty.
Robert Hutson: Thank you, Doug, and good morning or good afternoon, depending on where you're at today as you call in for our results presentation. Today, I'm going to walk through several slides, and we're really going to focus -- touch on the results a little bit on the first half but also discuss our corporate strategy and how Diversified is well positioned for long-term success. And I really want to spend as much time as possible on that because I think it's important for our shareholders as we move forward here to hear from us as it relates to that. So we'll start through the presentation, I'll start here on Slide 3. And really, our long-term strategy continues to drive reliable and measurable results. You can see some of the highlights here from the first half. A couple that I'll point out, the -- obviously, the production 863 MMcf equivalency per day, about 144,000 barrels of oil equivalency, as I believe, a record for our overall production. Another important metric here that I was going to point out is our 50% cash margin. That continues to be very consistent over the years. And even with prices coming down, $2 to $3 natural gas price, we've seen our margins continue to improve and stay relatively robust. These are the outcomes, both the production and the margins, our outcomes, the hard work of our 1,600-plus strong team at DEC. They're incredible employees, hard-working and for all our employees that are listening in today, and I know there are several, I want to recognize the outstanding performance that you continue to achieve for Diversified. Also on this slide, it's important to note that we have consistently delivered a return of capital to shareholders since the IPO back in 2017, having returned over $760 million of $1.2 billion that we've raised back to our shareholders over the last 6 years. Flipping to Slide 4. While the first half of 2023 saw natural gas prices in the $2 to $3 range for the majority of the period, we continue to deliver reliable financial results and continue to improve not only on our cost, but also on our sustainability goals, which you can see here on this slide. These financial and operational results were in line with the market expectations, and we'll talk a little more about the costs as we move through the presentation. But it's important to note that these production numbers, which, again, were records for Diversified, that those production metrics reflect our strategic decision to forgo the completions on the 4 drilled uncompleted wells during this pricing environment that we had from the Tanos II acquisition back in February. So we made a decision with gas prices between $2 and $3 to hold and not complete those wells until later in the year or first part of '24. Flipping to Slide 5. Again, talking about the corporate strategy that we employ. We really have differentiated ourselves from other more traditional E&P companies. Obviously, they're more development-focused, where we're more operational-focused. But our business model meaningfully reduces 4 of the typical industry risk factors. Obviously, commodity price risk, we continue to have a dynamic hedging program and trying to realize prices that deliver consistent cash margins. We -- typical other industry risk development, operational risk, we obviously don't have a drilling program in place so that, that risk of -- drilling risk that comes along with that. Financing risk, we have traditional RBL. We also have our amortizing notes. We've been able to be creative from that perspective and find ways to delever, but also to grow the business. And then environmental risk, we've spent a lot of time and attention developing a stewardship model that reduces emissions and improves already -- improving already, producing long-life assets, and we're one of the best in class in sustainability reporting. As evidenced, again, our Gold standard classification. Moving to Slide 6. For 6 years, we have demonstrated a proven ability to accomplish what we say we will do. That's always been very important to me as I've talked to our investors over the last 6.5 years that, look, we're going to tell you what we're going to do, and we're going to go out and achieve it. We've stayed true to that corporate -- to our corporate strategy of acquiring assets and operating assets, driving efficiencies in those asset bases, enhancing production, maintaining a strong balance sheet and then also providing returns to our shareholders. That has been consistent since day 1, and we'll continue to do that. Our credibility has earned the trust of our shareholders, which is represented by long-term holdings and engagement of the majority of our shareholders. This means a lot to me and I would like to thank all of them for their support personally for their time and their efforts and being part of what we're doing here at Diversified. I'm very appreciative. Turning over to Slide 7. On the following few slides, I'm going to provide a little more granularity around our -- a couple of our key aspects of our corporate strategy. On Page 7, this is really the leverage profile. We've been very consistent since the IPO. We've always maintained that we need a 2 to 2.5x levered balance sheet to maximize returns for our shareholders. And that's -- you can see here on the slide as the commodity price cycles, the ups and downs, the ebbs and flows of that and how we compare to our peers in the industry. Most of our peers are in their average leverage driven purely off the price of natural gas. You can see our has just maintained a very consistent profile through that whole period. Theirs will swing more with the commodity prices, our stays more flat. We have a very low CapEx and reliable cash flow. So our business model can maintain a higher leverage profile similar to the industrial manufacturing or the special -- specialty chemical sector, both of which have similar profiles to us. Moving on to Slide 8. Again, staying within our corporate strategy, talk about hedging and how we mitigate that pricing volatility and risk. You can see here, as we've --  through the first half of the year, for the last 12 months, I guess, we've been about 85% hedged. You can see the hedge price that -- or realized price that we're seeing. And you can see kind of how we relate to all the peers in the industry and most of our peers are around 50% or even lower than that. But that's not the way we operate our business. And we like to have a very systematic approach to hedging. We remain better positioned than our natural gas peers. -- who are on average only 50% hedged this year. We are approximately 16% higher than strip and above our industry peers as it relates to realized pricing. And that active risk management approach allows us better management of the commodity price cycles, which we haven't been able to weather over the last 4 to 5 years. Moving over to Slide 9. On our year-end call, we discussed our focus on unlocking value for noncore undeveloped acreage. It's been a very -- something that we've talked about for a while. This year, we're starting to leg into that and starting to find value for the undeveloped acreage, which we didn't pay for in most of these acquisitions. So we've always been very clear. We don't pay for undeveloped, but we believe that, that has value -- option value that we'll be able to recognize at some point in the future. And you can see here halfway through 2023, we've started to deliver on that objective. Year-to-date, we executed over $60 million in undeveloped sales or asset dispositions. It's worth noting that we did not pay anything for it. And we ascribe no value to the purchase prices on these assets that we sold. We continue to work with third parties on other meaningful opportunities. The one piece that we haven't done yet is the DrillCo partnerships, which we've been talking about -- and we believe that those opportunities will present themselves as the natural gas environment -- natural gas price environment improves later in this year and into early next year. On Slide 10, talking about Smarter Asset Management. This is an area of our business that just I believe gets overlooked. But we spend a lot of time in the field assessing projects, looking for ways to create value that other people that own these assets probably would not do. It's -- at the core of our business is efficiency gains and optimizing the technical and the commercial operational and environmental aspects of our acquired assets through these programs of Smarter Asset Management. At the end of the day, you buy good assets, you operate them better. It's a big win for us. And so we continue to look at ways and you can see some of the examples of some of the things we've done over the last 6 months to garner value out of these assets and so we continue to put a lot of time and attention on this. Investing in our core business remains a top priority, but it's always dictated about the economics of the projects. And so our operational folks continue to look at projects, they'll size it up to the economics, and they'll push the ones with the highest economics to the front. And so we feel like that this continues to be very instrumental in being able to reduce our decline rates over time, enhance production, drive more economics in the front end of the curve and help us to better increase our reserve values. So this is a very, very big part of our business. Moving over to Slide 11, talk a little bit about the sustainability practices of the business. We've spent a lot of time and resources improving our sustainability reporting -- our sustainability and emissions reductions in the field. And you can see some of the fruits of that. This model continues to not only be good for Diversified from the sustainability aspect, but it's also delivering results and economics to us as we reduce emissions and allow more of the production to be sold from the wellhead. We have engaged experienced, diverse and independent Board of Directors that is committed to strong sustainability practices, including a track record of improvement in our methane intensity, which is very, very important as we move forward in time. You can see that we've -- the IRA threshold, which is the new -- or the new bill that was introduced last August. That threshold is 0.2 methane intensity and we're already down to that level and under the amounts that need to be to keep from having any type of fees associated with our methane. So we're in a very good place. We continue to -- we've also received a AA -- I believe is the AA -- yes, AA from MSCI, which is 1 away from the best you can be, I believe, and puts us in the top threshold of our peers as it relates to the ESG scores. And then we obviously have the GMP -- OGMP Gold Standard classification again this year. Flipping over to Page 12. Our disciplined strategy once again delivered reliable results. We put that earnings release out this morning. Total revenues per unit were almost 25% higher than the natural gas pricing during this period, including the effects of our active hedging program. This revenue generation also reflects on higher liquids exposure in the central region and the uptick in pricing that we've seen over the last 6 months related to some of those liquids values. While seeing a sequential improvement in per unit cost despite the continued inflationary environment, and what I really like about this slide and what really is as I sit here as CEO today, obviously, in the second half of '22, we saw an uptick in -- especially in our variable costs related to some of the higher pricing, but also some of the inflationary aspects of just where we were in 2022 as a country and really the globe. But we've seen those levels come back down to almost flat with the first half of '22 as we finished up the first half of '23, which is a very, very good sign that the inflationary aspects of the business are starting to come back down. And obviously, the variable cost aspect has come back down with it. So very good quarter -- or very good first half of the year, and we're very pleased with where that -- where the costs have come back down to as a result of the inflationary -- inflation coming down. And then finally, we'll just move over to Slide 13. We started to say this here internally, but we're going to message it out, right company, right time. We believe that's the case. We believe that Diversified's future is bright. We're providing a solution for energy companies that are development-focused. We're providing another look for investors, somebody on the other end of the spectrum that's not development-focused. We also are helping our states in which we operate with our Next LVL well plugging program to manage the state's orphan well programs with the federal money that they've received. So we're helping them to -- we're 40% of the capacity in Appalachia. So we're helping them to manage their orphan well programs with the money that they're getting. We're providing a solution for investors looking for a compelling small cap opportunity with a unique business model. Our business model is very unique in this sector. Even in the U.S. And so we believe that, that will continue to sell to investors looking for something different other than the traditional E&P and development-focused companies. And as a natural consolidator of long-lived natural gas assets, we can help to meet the demand of the energy transition by efficiently producing natural gas with an environmentally-focused stewardship approach, providing less dependence on new wells being drilled and less reliance on foreign sources of energy. Our business model, while unique, I believe, is going to represent a big opportunity not only to our current investors in London, but at the U.S. investors over time who will see this as being a model that is needed in the U.S. markets to help to continue to keep mature producing assets in production and keeping our energy needs met because we just can't do without the mature producing assets. It's too big of a part of our energy supply. So with that, I'm going to stop, and I will open it up for some questions.
Operator: [Operator Instructions] Our first questions come from the line of David Round with Stifel.
David Round: I'm going to start with the obvious question around M&A, please, and just ask for your thoughts on the outlook there. Should we be expecting to see further deals this year? Or how is that panning out? And actually, I also wanted to ask about the asset retirement business, please, particularly the third-party retirement part. Interested also in how that business is evolving versus your expectations and where you think you could get to? I mean if I look at your revenue breakdown, I mean it looks like that could soon overtake the midstream business. Am I right in thinking that? Or is there something else in the other income line?
Robert Hutson: Yes. So let me address the acquisition question first. What we're seeing right now in the acquisition market, there's a lot of deals. I think that what I am seeing is that there's still a lot of -- some of the sellers that are still not understanding to some degree that there is a cost of capital change that has occurred for all companies. Debt costs are higher and so there needs to be some adjustment in the sellers' expectations. We believe some of our best opportunities though are out there that are coming. We'd like to get a little more liquids exposure, especially on the LNG side. We think that our -- NGL side, I'm sorry. We think that there's some opportunities to beef that up a little bit further, especially in that Central Region. The acquisition market will come to us at some point. We're being very patient. I don't want to overpay. I don't want to pay. What I'm seeing in our market over here is we're seeing some consolidation with some of the public, which I think are needed, especially in the Permian Basin, but what we don't want to do and what's very, very important is overpay for anything. And so it's more important for me to stay focused on good deals at the right value, but I do believe that those deals are coming, and we'll have an opportunity to take advantage of them here in the near term. It's just we want to make sure we're paying the right price for them. Outside of that, on the asset retirement business, that continues to be very, very important for us for a few reasons, obviously: number one, to control the costs and make sure that we're able to retire our own wells in a very efficient manner. As it relates to the rest of the business, Brad can come and bring the speed on some of the other stuff that you asked about.
Bradley Gray: Good morning, David. As it relates to expectation on the business, the results of our business thus far here in '23 are pretty much right in line with our expectation. We've plugged a lot of wells. We'll plug probably almost an equal amount or maybe slightly less than that for the remainder of the year. And the revenue is picking up with the work that we're doing, more of the Appalachia States, specifically for the State of West Virginia, where we won several large contracts. So that is picking up. What we're trying to do is really to offset the cost of our plugging  of the wells that we own with the additional revenue gross profit that we're earning off of plugging for third parties. So it's in line with our expectations. This business is based upon having good equipment and good people. And so if we want to continue to grow this business, it will require more of both of those, which there's opportunity for do that. The business is really evolving here in the United States for the last 30, 40 years. Plugging wells has been an afterthought or been looked at as an area that has not been a focus. It clearly has come into focus, and we're in a great position to benefit from that. Not only do we think that we could add some additional capacity, but also, there's a lot of work going on here in the United States related to innovation and new ways to plug wells more efficiently, and so that's going to -- with those efficiencies, whether it's new materials or new processes or a combination thereof, that's going to allow the country and us to be able to plug more wells, lower cost, just across the board. So we're in line with what we thought, and there's still opportunity there for us.
Operator: Our next questions come from the line of Mark Wilson with Jefferies.
Mark Wilson: I'd like to ask about given what you said there, Rusty, regarding patience needed on deals, even though they're out there, and given your relatively robust realized price year-on-year, yours is going up, Henry Hub is going down. How do you see the profile of the dividend moving forward? And can I also ask regarding the share buyback that you authorized in the middle of the year, do you see your own shares as being something you could buy in lieu of external M&A?
Robert Hutson: Yes. Great question, Mark. I appreciate it. Yes, as it relates to the acquisition market, we've always said, look, the growth of this business is through acquisitions, okay? And when back in 2021, I believe it was, we did 4 acquisitions. Last year, we essentially did 1 for the most part. And you don't want to be in a position, I would rather be very focused or very strategic and be careful about what we're paying, then I will to overpay just to do a deal. And so we've been very focused on that. And so obviously, and I've said this a lot, if you don't grow the business over time, your dividend will be adjusted to reflect no growth in the business over a period of time. But we'll manage through that, and we'll take a look and decide as time goes by, we're not there. I mean, obviously, we've just released our second quarter dividend this morning also. So we'll -- but I will tell you, we will find growth is coming. We've looked at several deals. We've got a lot of them out there, they're just kind of waiting for -- we're waiting for them to make a decision on what they want to do. Because right now, Mark, we're not really competing that much with other companies as much. You're really competing at the end of the day with the whole case of these companies. If they hold it, they can -- in their minds anyway, they can make X -- if they sell what they can make X. And so that's kind of where we're at on that. And the natural gas deals are a little bit harder because as the strip prices come down, the PV values -- a PV17 for example, PV18 value, just PDP could represent a 5x multiple in the next 12 months because the strip price is so low. And so all that's just kind of a balancing act, but we'll find some growth here in the near term. I'm very confident that we'll execute on 1 or 2 here in the near term. What the second question related to? I'm sorry, Mark -- what was the other question?
Mark Wilson: No. I understand that. I hear from that as the dividend can grow as you grow and deals are needed to grow. So the second question would be just -- are you expecting to execute your share buyback?
Robert Hutson: Yes. That's -- I'm sorry, I lost track of that one. We've got a -- the share buyback is there, and we can obviously implement it. We've been obviously in a kind of a restricted period as we were moving in towards earnings, so we couldn't do anything as it relates to that. We know kind of what the price of the shares that we want to -- if it gets to a certain level, that's where we'll be taking advantage of it. But we -- unfortunately, in the markets over there, we can only do so much volume on a daily basis, and it represents about 10% of the average 3 days' volume. And so that's about 150,000 shares a day at max that we could even acquire. And so it's -- unless you go out and do a tender offer or something like that, you're really in a mode of very little shares that you can buy back on a daily basis because our liquidity has been so low in the trade volume. So it's definitely on the table. We have a price that we will do it. And so yes, it's out there, we will do it when the price is right.
Mark Wilson: Understood. That's very clear. I just wanted to cover up on a couple of other things. It was interesting talking to deferring some operations because of the low gas price and I just want to put it to you because of your hedging and therefore, your relative strength in lower gas price markets, why you would have to defer? Arguably, you can move forward as others don't. That's the first point. And then the second is, Rusty, just let us know -- where do we stand on the -- I haven't heard of it for a long time, the Oaktree co-investment setup?
Robert Hutson: Yes. Well, on the 4 drilled uncompleted wells, keep in mind, our hedge portfolio is related to existing production. You can't hedge production you don't have. So that production would -- that you bring online would all be unhedged. And as we were looking between February and today, when you factor in the Henry Hub price, and the basis differentials, which have been a little bit wider in that Central Region over that period of time than typical just because of the high storage levels that we saw coming out of the winter last year. That's just not a price we would want to take good flush gas off new wells and drill into. It's just not a good return on our investment. So now what I would say if we get into the end of the year, prices have started to pick back up, that's an opportunity for us to complete those wells and be able to realize that as we go into 2024. So that's how I would look at it. Obviously, we'll do something with those 4 drilled uncompleted wells right toward the end of the year and have that production kind of producing into first part of next year. And then the second question was what?
Mark Wilson: Just give us an update on the Oaktree co-investment.
Robert Hutson: Oh, yes, Oaktree. Sorry. Oaktree, yes, so their -- believe it or not, their agreement expires on October 1. So our 3-year agreement with them is coming to an end on October 1. Oaktree has spent probably the last 12 months exiting a significant amount of their oil and gas assets here in the U.S. Some of them, they've been in for a good while. They're prepared to stay in this one and just ride it out. I think there could be an opportunity there, Mark, for us to buy that asset back from them and as we enter -- as we exit this agreement because I don't think they're really interested in acquiring new assets as we sit here today. So anyway, I think that's an opportunity for us. But the actual agreement with them to co-invest expires on October 1, then they just retain the assets that they've invested in at this point. But I see it as an opportunity for us to look at other partnerships as we move forward. So it's been a great partnership. Oaktree has been a great partner. We've done -- I think they've done about $500 million of total investment with us and helped us to grow this business pretty substantially over the last couple of years, but that's coming to an end in terms of the agreement, and we'll look to other partners or other ideas to help fund the growth going forward. But it could be an opportunity for us. As I have stated now for 3 years, it's kind of an asset which is kind of on the shelf just waiting for us to acquire it at some point in the future.
Operator: Our next questions come from the line of Matt Cooper with Peel Hunt.
Matthew Cooper: And congratulations on a strong set of results. You mentioned on Slide 9 that you've executed some JV agreements with regards to undeveloped acreage. So if you're able to give any more details on this? And also on the likely shape of potential DrillCo partnerships?
Robert Hutson: Yes. No, the sales that we've done have just been purely sales of undeveloped acreage to other companies. So no JV there at all. It was pretty much just selling an undeveloped acreage where it was an area that we felt was even for us as future value wouldn't be areas that we would look at to take advantage of ourselves. Now we have, as you guys know, we did the acquisition of Tanos II back in February. As part of that deal, we retained the Tanos II team on a retainer by the consultant to do a couple of things: number one is to take all of our East Texas, Louisiana acreage and do an evaluation of it in terms of undeveloped opportunity and drilling opportunities within that area. But also for them, to -- as they had some acreage that we acquired and for them to help us to potentially drill some of that in the future. And so they're there. It's a great team. They're probably one of the best Cotton Valley drillers in the region. They're on -- they're with us as consultants, and they are evaluating all of our acreage. And I think as we get late in this year and start into next year with price getting better, that's an opportunity for us to take advantage of.
Douglas Kris: And Matt, let me just add one point to that. Just on the joint venture specifically. This year -- to Rusty's point, this year, we haven't executed any of those. But in the past, if you recall, we made the EdgeMarc acquisition in Appalachia, and we basically had an agreement where there was a number of drilled and uncompleted wells there. We partnered with another company, completed those wells. We actually operate the acreage and where those wells were so that -- there was a partnership there that we struck with another entity to kind of complete those wells. They pay for the cost. And we just get the operatorship of that at the end of the day. So that's kind of an example of something that we've done in the past. We've done it at other times with the folks at Comstock where we've kind of flipped out some acreage to them and had them develop it. So there's in the past, contracts where we have done that. Just in the calendar year 2023, we haven't executed any of those yet.
Robert Hutson: Yes. Hard to get people -- hard to get too many people interested in drilling very many wells in a $2 to $3 gas environment, and that's really -- and honestly, we wouldn't want to.
Matthew Cooper: Okay. Got you. Yes, that makes sense. And you mentioned Tapstone II, your most recent acquisition. I don't know if you can give a bit of an update on the progress here and integrating that into your portfolio and opportunities that you've seen to reduce cost and maximize production there?
Bradley Gray: Matt, this is Brad. Yes. So we're fully integrated with the Tanos II, not Tapstone II. The Tanos II assets -- yes, we're fully integrating with them, both from a systems perspective, a marketing perspective and operational perspective as well. So -- and we're currently in the process of looking at the scale that we've built in that market, in that East Texas, West Louisiana area, Northwest Louisiana, where we are leveraging pipelines. We're leveraging processing plants. We're leveraging personnel and management. So what we've done in Appalachia is as we look to export that same model to the Central Region, that is in full force. So -- and we've generally been pleased with the production from those wells. We're building a strong relationship with the Tanos team that we do have under retainer, as Rusty just mentioned. They're going to bring some great value to us in that marketplace. It's kind of a -- not only do they have the technical expertise and the engineering and the development expertise, but we also have a little, I would call it, many business development team in that marketplace that's got their ears to the ground and look for opportunities where we can continue to grow scale there. So at this point, positive results from the Tanos II integration.
Matthew Cooper: And just finally, with regard to U.S. listing, your latest thoughts there.
Robert Hutson: Yes, Matt, we continue to keep our numbers updated. It's interesting. We've been doing a lot of marketing in the U.S., talking to a lot of U.S. investors. The U.S. investors are very, very supportive and encouraging us to do that. They really believe that it's something that we -- number one, it's going to be highly popular and that the investors here in the U.S. will like. We definitely think that it will help our trading liquidity, which is been extremely low in the markets in London, especially over the last 6 months. And honestly, we're keeping the numbers up. We're keeping our SEC filings updated and making sure that we're prepared to go. The volatility index here, which is really the biggest gauge, I would say, of market availability to get something done has continued to be below the levels that it needs to be. So it's a very, very right market to get something done. I think after Labor Day, there's going to be some raises in the U.S. in our sector. So we're staying ready, and we believe that that's an opportunity for us that should -- that we need to execute on imminently.
Operator: Our next questions come from the line of Brendan D'Souza with Allenby Capital.
Brendan D'Souza: Congrats on a solid set of numbers. Just another boring question on M&A. I'm just wondering, are you currently seeing any distressed sellers at the current prolonged sub-$3 gas price, perhaps companies that are leveraged and need to sell? Or is this something you think will start to happen as the year drags on and we get into 2024 and prices stay at these levels?
Robert Hutson: Yes. We're seeing fewer of those. And I'll tell you why. There's been several things that have reduced the number of these distressed companies: number one, we -- gas price -- I've said this high prices hide a lot of sins. And so what happened last year, people were able to recognize pretty the high gas prices and oil prices. We're able to -- some companies did some of the ABSs. They've done some things to clean up their balance sheets. And so not a lot of what I would call stressed out there, but I do see a lot of private equity sellers in the market right now trying to -- probably trying to determine whether they want to sell or not sell essentially. But I don't think -- and then the other thing that I believe has reduced the number of those, it's just been the overall consolidation in the markets over the last 12 months, especially in the Permian, we've seen a significant number of Permian-based consolidators and consolidation M&A. And so as we sit here today, I would say that there's not a significant number of distressed companies. Now look, what I think could push people towards this distressed level or at least push them towards needing to do something even if they're not distressed, is a reduction in capital availability. There's just not a significant amount of capital available to some of the -- especially some of the smaller companies. If you don't have access to capital markets, if you don't have robust hedging capabilities, it's going to get tougher and tougher as you move forward. And so one of the reasons why I've been so adamant on the U.S. markets is to make sure that we have as much capital availability as possible as we move forward. So I think that some of the banks -- the number of banks that are participating in OBLs have come down quite a bit in the last 12 months. And it's just going to make it harder for companies to survive -- these smaller private equity-backed companies or even some of the smaller small-cap companies even on the public side, it's going to get tougher and tougher to survive with the reduced amount of capital available in the market.
Operator: [Operator Instructions] Our next questions come from the line of Simon Scholes with First Berlin.
Simon Scholes: I've got 2. The first is on basis differentials. My sense is that basis differentials in Appalachia have widened quite significantly over the next -- over the last couple of years. I was just wondering if you could share your thoughts on how they might develop going forward. And then the second one is just going back to the ARO business. I mean as the previous caller pointed out, I mean, the growth looks pretty impressive. And I was just wondering if you could give us any indication of what we should model for this next year. I mean are you going to add another $15 million? Or could it do better than that? Or might it slow down next year?
Robert Hutson: Yes. Simon, thanks for the questions there. On the basis diff, I'll answer that first. There's been no doubt that we've seen an expansion of basis diffs in Appalachia. Obviously, there's been a -- it's been a difficult decade, I would call it, in terms of being able to get infrastructure in place to remove some of the gas that's being produced in these very, very prolific shale plays, the Marcellus Utica. We've seen the battle that took place with the Mountain Valley Pipeline, which I'm sure everybody is fully aware of, that went on for 5 or 6 years. And finally had to take Supreme Court approval to get it to a point where we could -- where that could be finished and completed. I spoke with the CEO of Equitrans yesterday or the day before, and he's still feeling very good and comfortable with a year-end completion date for that pipeline. But that's 2 things called these basis blowouts that we've seen here in the last 6 months: one being just no winter. The winter last year, it was very mild. So we had a storage surplus for sure. And then number two is the lack of infrastructure. So what I'm thinking is going to happen is as we go into 2024, is we'll see some contraction in that -- in those bases. I think we'll probably see ones like Dom South, which is one that we have about 30-some percent of our gas tied to, come down to probably in the $0.90 range negative. And then a couple of the others like TECO in that $0.70 range and $0.65 range somewhere there. And then -- I think the data people don't realize and 1 thing that we've been pretty successful doing is we've been able to reroute a significant amount of production to the East Tennessee market, which has been a premium to NYMEX in that Southwestern Virginia area. And so we've got that going for us also. But I think basis, this will get a little better next year. The Mount Valley Pipeline coming online will help and -- but the biggest problem we have is we've got all this production in the Northeast that cannot make its way to the LNG export facilities on the Gulf Coast or at least not enough gas to matter. And so that's going to continue to drive a better basis in the Central Region, which is where we've been operating the Cotton Valley assets, that Houston Ship Channel, I believe, is sitting at $0.17 for next year. So it's just a lot of dynamics at play. We're in desperate need, I believe, in the U.S. of permitting reform, which I think is going to happen at some point, which will help make these pipelines give them an easier path to completion and help us to be able to get infrastructure that's desperately needed here in the U.S. As it relates to the asset retirement Next LVL Energy -- as we look at the future, Brad, do you want to give us some comments on that?
Bradley Gray: I'll add comments. Thanks for your question. So really from a revenue growth perspective, there's -- we see 3 areas that can make that possible. One is just adding capacity, and I spoke about that earlier. Two, we can raise our prices, which we typically in these federal and state bid processes, it is a competitive process. So there's some limitation on that. And the third is the area that we're really interested in, and that is to be able to put more wells with the same equipment via innovation. And so that's going to require us to be engaged with regulators, to be engaged with innovators. And as I mentioned earlier to Matt's question, we're in a position to do that. So -- but absent innovation and regulatory change, the way to grow this business is adding capacity. And so that's possible. I think we can marginally do some of that as we progress here, but we're primarily focused on being able to plug more wells in a shorter period of time with the same equipment that we have.
Operator: There are no further questions at this time. I would like to turn the floor back over to Rusty Hutson for any closing remarks.
Robert Hutson: Yes. Thank you all for attending today. Obviously, Wren and Doug will be available over the next week or so to answer any other questions that you may have, and we'll be prepared to answer anything you might have. Thank you very much for attending.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.